Operator: Thank you for standing by and welcome to the SunCoke Third Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today Shantanu Agrawal, Director of Investor Relations. Please go ahead.
Shantanu Agrawal: Good morning, and thank you for joining us today to discuss SunCoke Energy's third quarter 2019 earnings. With me today are Mike Rippey, President and Chief Executive Officer; and Fay West, Senior Vice President and Chief Financial Officer. Following management's prepared remarks, we'll open the call for Q&A. This conference call is being webcast live on the Investor Relations section of our website and a replay will be available later today. If we don't get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn things over to Mike, let me remind you that the various remarks we make on today's call regarding future expectations constitute forward-looking statements. The cautionary language regarding forward-looking statements in our SEC filings, apply to the remarks we make today. These documents are available on our website as our reconciliations to non-GAAP financial measures discussed on today's call. With that I will now turn things over to Mike.
Michael Rippey: Thanks, Shantanu. Good morning and thank you all for joining us on today's call. We have quite a few things to cover, so let's just get right into it. I'd like to start with our logistics business and walk through some meaningful challenges we are experiencing. In previous quarters, I have talked about the thermal coal export market and how it continues to face headwinds with weak power demand, increased Russian exports, and an oversupply of LNG. During the quarter, that trend continued and was exasperated by significant deterioration in the business of our two largest customers for CMT. As you know, CMT is underpinned by two long-term take-or-pay contracts, each contract for 5 million tons of throughput. Our customers Murray Energy and Foresight Energy account for the majority of CMT's adjusted EBITDA and have been challenged by both market conditions and their respective capital structures. The sharp decrease in coal export prices coupled with declining domestic coal demand have negatively impacted Murray and Foresight's free cash flows and liquidity positions. Last week, Murray filed for Chapter 11 bankruptcy protection and Foresight extended the grace period repayment on interest by another 60 days. These developments have decreased the number of coal export tons that CMT handled during the quarter and is expected to handle for the balance of 2019. We now anticipate the throughput volumes for the full year at CMT will be approximately 6.5 million tons, 5 million of which will come from our coal export customer Foresight Energy, Murray has not shipped any meaningful volumes through CMT during the first nine months of 2019 nor made any payments under its take-or-pay agreement and we do not anticipate that it will ship any volumes or make any payments in the fourth quarter. Due to the financial impact of Murray Energy's Chapter 11 filing on our logistics business, we are lowering our consolidated EBITDA guidance down to $240 million to $250 million from the previous guidance of $266 million to 276 million. On the strength of our core coke making operations will somewhat mitigate the impact from the weakness at CMT, we felt it was prudent to update our guidance given the uncertainty of our CMT customers. Notwithstanding these significant challenges, we continue to believe in the potential of our CMT business and are highly focused on exploring opportunities for ways we can maximize our operations and diversify the products we move in order to secure new customers and incremental volume through the facility. Now turning to our financial performance. During the quarter, we generated $66.7 million in adjusted EBITDA and $197.1 million in adjusted EBITDA year-to-date. These results reflect the strong performance of our domestic coke operations and the lower throughput volumes at Convent Marine Terminal. At the heart of our business, our coke operations are performing well and we are on schedule to complete the final phase of Indiana Harbor rebuild in the fourth quarter and expect the facility to be back at 1.2 million tons of nameplate capacity in 2020. We have been extremely pleased with the results of our rebuilt ovens to date. We have executed the rebuild process with methodical and thoughtful approach and the results at Indiana Harbor are a testament to the hard work of our team. Looking at our year-to-date results, domestic coke EBITDA is up over $18 million versus the prior year period. And we are solidly on track to meet our full year guidance expectations at the top end of the range. As we near the completion of our rebuild process, we anticipate our results will continue to benefit from the more efficient rebuilt ovens as a major portion of the rebuild initiative is now behind us. While the issues with our CMT customers have presented us with significant challenges to work through, we will accelerate the initiatives we have undertaken to strengthen our business. In addition, the operational achievements we have made improving efficiency to our fleet earlier this year, we completed our simplification transaction, setting the foundation for a more flexible structure from which we can pursue strategic growth initiatives and return capital to shareholders. I'll talk in more detail later to the progress we have made on our capital allocation priorities, this quarter was a strong one on this front. In addition to our organic growth initiative at the Indiana Harbor, we have made significant improvement to our balance sheet strength, returned meaningful capital to our shareholders through our dividend and opportunistic share repurchases made during the quarter, and established a new $100 million share repurchase authorization. With that, I will turn it over to Fay to review our third quarter earnings in detail. Fay?
Fay West: Thanks Mike, and good morning everyone. Turning to Slide 4. Our third quarter net loss attributable to SXC was $1.81 per share, reflecting a $1.94 per share impairment related to charges we took on our logistics goodwill and long-lived assets at CMT. Excluding these non-cash charges, adjusted net income attributable to SXC was $0.13 per share, which was down $0.05 versus third quarter 2018, mainly due to the absence of tax benefit recorded in the prior period. From an adjusted EBITDA perspective, we finished the third quarter at $66.7 million, up $0.7 million versus the third quarter 2018. The increase was due to higher volumes at Indiana Harbor and a decrease in the scope of outage work at Granite City, but these favorable increases were mostly offset by lower throughput volumes at CMT. Moving to the detailed adjusted EBITDA bridge on slide 5, as you could see consolidated adjusted EBITDA was up approximately $0.7 million versus the prior year period. As Mike mentioned, our Coke segment performed at a high level and delivered excellent results. The oven rebuilds at Indiana Harbor are yielding higher production and an increase in operating efficiency. The Coke segment also benefited this quarter from lower outage related costs. There was a major outage in the third quarter of last year to perform maintenance on Herzig and FGD unit at Granite City. As a reminder, the financial impact of planned outages are included in our full year guidance. Planned outages generally result in incremental operating and maintenance cost, lower energy revenue, and lower coke volumes. Timing and scope of outages vary year-to-year, which in turn affects year-over-year comparability. In terms of our logistics business, CMT throughput volumes continue to be impacted by lower API2 and new capital pricing, as well as demand for thermal coal and export markets and the liquidity challenges faced by our customers outlined by Mike. CMT handled only 1.3 million tons this quarter as compared to 3.2 million tons during the third quarter last year, which drove an $11.3 million decrease in adjusted EBITDA. After adding in favorable results in Corporate and Other, mainly due to mark-to-market adjustments in deferred compensation, we finished the quarter with $66.7 million of adjusted EBITDA. Looking at domestic coke results in detail on Slide 6. Third quarter adjusted EBITDA per ton was $57 on 1,059,000 tons of production. These results reflect an increase in coke production of over 20,000 tons of Granite City and 17,000 tons at Indiana Harbor quarter-over-quarter. As discussed, the increase in production at Indiana Harbor is mainly due to oven rebuild. The increase in production at Granite City quarter-over-quarter is due to fewer outage days in 2019. Energy production and operating costs were also favorably impacted at Granite City, due to the aforementioned shorter outage. I want to briefly elaborate on the Indiana Harbor oven rebuild project. As evident from our results, the rebuild ovens are performing well. The 2019 B battery rebuild campaign is nearing completion and 40 out of the 57 ovens have returned to service. We are currently rebuilding the remaining 17 B battery ovens and anticipate the final set of ovens coming back online in late November. Based on performance today, we are well positioned to execute our full year 2019 Indiana Harbor guidance of $22 million of adjusted EBITDA and are on track to achieve the 1.2 million tons production level in 2020. With solid performance through the first three quarters of the year, we expect to deliver results at the top end of our full-year domestic coke adjusted EBITDA per ton guidance of $53 per ton to $55 per ton. Flipping to Slide 7 to discuss our logistics business. The logistics business generated $9.6 million of adjusted EBITDA during the third quarter as compared to $21 million in the prior year period. The decrease in EBITDA is primarily due to the lower throughput volumes at CMT, which we have discussed at length. Our domestic terminals were also impacted by softer demand this quarter handling approximately 3.4 million tons during the quarter versus 3.7 million in the prior year period. CMT contributed $7.4 million of adjusted EBITDA and approximately 1.3 million tons in the quarter. Volumes remain depressed based on current market conditions. And as we look forward, given the forward pricing curve of the coal export market and liquidity challenges faced by our customers, we now anticipate that throughput volumes for the full year will be approximately 6.5 million tons in 2019 with 5 million tons coming through Foresight Energy and the remaining 1.5 million tons coming from other products. As Mike mentioned Murray Energy has not shipped any meaningful volumes through CMT this year and we do not anticipate any additional volumes in the fourth quarter. Based on the recent bankruptcy filing by Murray, we do not believe that the existing take-or-pay receivables are collectible nor do we believe that we will collect take-or-pay amounts that would be earned in the fourth quarter. As a result, we are lowering our full-year 2019 logistics EBITDA guidance to be between $43 million and $45 million versus the previous guidance of $73 million to $75 million. We also recorded a non-cash impairment charge related to this as we previously discussed. Our revised guidance includes a $31 million to $33 million adjusted EBITDA contribution from CMT. Lowered guidance mainly reflects the portion of revenue contributed by Murray deemed as non-collectible. Turning to Slide 8 and our liquidity position for Q3. As you could see on the chart, we ended the third quarter with a cash balance of approximately $94 million. Cash flow from operating activities, generated close to $85 million, due to strong operating performance, the timing of cash receipts, and lower inventory balances. We spent $28.4 million on CapEx in the quarter, which included approximately $11 million on Indiana Harbor oven rebuild work. Full year CapEx is estimated to be between $110 million and $120 million, unchanged from our previous guidance. During the quarter, we used $46.6 million of cash to extinguish $50 million [ph] face value SXCP notes, with an average bond repurchase price of $0.934 on the dollar. By the end of the quarter on an LTM basis, we achieved our leverage ratio target of three times gross debt to EBITDA, we also use $13.2 million to repurchase approximately 2.1 million shares at an average price of $6.38 during the quarter. Additionally, we refinanced our revolving credit facilities during the quarter, which lowered our interest rate, increased debt capacity and extended the maturity date. In total, we ended the quarter with a strong liquidity position of approximately $338 million. Before I turn it back over to Mike, I want to highlight that we are also lowering our full-year operating cash flow guidance to $150 million to $160 million, which reflects changes in EBITDA guidance due to the financial challenges of our coal export customers. Mike?
Michael Rippey: Thank you, Fay. Slide 9 lays out our capital allocation framework and priorities. Despite the challenges within our logistics segment, we have aggressively pursued a balanced, yet opportunistic approach to capital allocation. Since the announcement of our simplification transaction, we have reiterated multiple times that management is committed to utilizing SunCoke's strong cash flow in the most advantageous and value enhancing manner for our shareholders. Our capital allocation progress this quarter, displays the financial flexibility we have built within the company. Creating value for shareholders is the goal of our management team and Board. And our solid cash flows allowed us to return meaningful capital to shareholders through a share repurchase plan initiated in early August. Through November 1st, we have repurchased approximately 3.8 million shares at an average price of $6.02. In addition, to the share repurchases made during the quarter, our Board authorized a new $100 million for future share repurchases, which we expect to execute opportunistically as the market dictates balanced against the capital needs of our business. As indicated during the last earnings call, our Board of Directors declared a dividend of $0.06 per share, will be paid on December 2nd. Towards our goal of improving our leverage position, we have extinguished a total of $58 million of debt year-to-date, which includes repurchasing $50 million face value of SXCP 2025 Senior notes at a discount. We have now reached our intended long term gross leverage target of three times this quarter. Going forward, our goal is to maintain or improve this leverage ratio while balancing our other capital allocation priorities. And finally, we continue to pursue organic growth opportunities such as the Indiana Harbor oven rebuilds, which have a very high return on capital. We are keeping a keen eye on the M&A space. But as we have said on every prior occasion, we will remain disciplined. Our actions this quarter demonstrate our commitment to creating value for shareholders through a disciplined and opportunistic approach to capital allocation. We will continue to find ways to leverage the flexibility we have and opportunistically creating value for our shareholders, while balancing the needs of the business. Let's review our revised guidance on Slide 10. We are lowering the consolidated adjusted EBITDA guidance down to $240 million to $250 million from the previous guidance of $266 million to $276 million. There is no change to CapEx or coke production guidance. We are now expecting to deliver at the top end of the domestic coke adjusted EBITDA per ton guidance of $53 per ton to $55 per ton. The coal export customer bankruptcy also impacts our operating cash flow guidance lowering it down to $150 million to $160 million versus the previous guidance of $176 million to $191 million. Cash tax guidance remains unchanged. Moving on to Slide 11, to wrap up. To summarize, we remain confident in the progress we have made, the strength of our core businesses, and the strong and flexible foundation we have worked hard to build in our new simplified structure. Through our strong foundation we have the ability to navigate the challenges facing our CMT business, while improving operational efficiency in our coke business and exploring new avenues to leverage our core competencies across the organization. Finally, our focus remains on generating meaningful long-term value for our shareholders. Our cash flow is strong and provides us significant flexibility to invest in our business, manage our debt position, and return capital to shareholders through an attractive dividend and opportunistic share repurchases. With that, we can open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Matt Vittorioso with Jefferies. Your line is open.
Matt Vittorioso: Yes, good morning. Thanks for taking my questions. So just on the updated guidance. The roughly $25 million reduction to your full year EBITDA guidance seems to be a 100% Murray related. So is there any Foresight impact from - baked into that guidance change? And also, are they - has Foresight continued to pay its take-or-pay?
Michael Rippey: We have and you're correct the updated guidance reflects substantially the Murray situation.
Matt Vittorioso: Okay. And then - so I guess, big picture question. As we try to think about 2020, you've got, obviously, the impact of Murray, potentially some additional impact if Foresight goes down a similar path. And then I think on the coke side, hopefully, you'll have some acceleration or some improvement at Indiana Harbor. Any way for us to think about the net of those three sort of large moving parts around EBITDA for 2020?
Michael Rippey: Matt, it's premature really for us to be providing any kind of guidance for 2020. We will do that when we announce our fourth quarter results. The comments you make are appropriate. We've continued to experience excellent results from the rebuild ovens at the Harbor works. We expect to complete that rebuild project here in late November of this year and have the full capability of 1.2 million tons available to our customer next year. So that's a good positive for us and one that we've talked about at some length in the past. The new situation is the, the change in circumstance at CMT, with regard to both Murray and potentially felt. So as that situation, which is quite fluid evolves, we'll - we'll reflect that in our guidance for 2020 at the appropriate time.
Matt Vittorioso: Okay. And then on capital allocation, thanks for the detail on that. I guess just as I think about priorities, from a debt perspective, you've said that you'll maintain - you've achieved and you'll look to maintain or even improve that three times gross leverage. Based on the $240 million to $250 million of EBITDA guidance, assuming you were able to maintain that in 2020, that would imply that you'd still want to take out some additional debt to get down to sort of three times growth. So would that be a priority over share buybacks? Would you look to achieve and maintain that gross leverage target before you were aggressive with buying back shares?
Michael Rippey: Matt, it's good question. It has been a priority of our company to get to this three times and perhaps below and it remains so. So having appropriate level of debt for our company is a priority, has been a priority and will remain a priority. Your point about if our EBITDA were to be 250 next year, that's your number not mine, we would expect to maintain our debt ratio of three times. And as you suggest that would require us to pay down additional debt.
Matt Vittorioso: Yes. Okay, one last one for me just on the coke side. Obviously, there's questions out there around some of the more near-term contract maturities. I think you've got some coming up with Arcelor sooner than later. Any - I mean, are those conversations that you're having currently? Any high-level insight as to when we might expect some news on those near-term maturities?
Michael Rippey: The maturities you refer to are at the end of 2020. And as you might well expect we've begun discussions with our customer and beyond that we can't comment.
Matt Vittorioso: Okay. Thanks for the time, appreciate it.
Michael Rippey: Sure.
Operator: Your next question comes from Matthew Fields with Bank of America. Your line is open.
Matthew Fields: Hey guys, was - just for housekeeping purposes, can you give us the effect of currency on the Brazil Coke segment?
Fay West: It's very nominal. And so I think it - I think on an annual basis, it's less than a couple of hundred thousand dollar.
Michael Rippey: Completely immaterial.
Fay West: Yes.
Matthew Fields: Okay, great. Thank you. And then on the debt reduction front following on Matt's question it kind of - we're looking at a 2020 where Murray and Foresight are meaningfully less to your results based on potentially new contract struck as a result of restructuring. Do you think of 3.0 times, as still the bogey with meaningful - meaningfully less coal exposure? And does that still require you to buyback or reduce debt like, you know, you said you would still go into that three times target.
Michael Rippey: Three times is the target has been and will be.
Matthew Fields: Okay, great. And then obviously good - you did a good amount of bond repurchase in the quarter [indiscernible] with bonds and the low to mid-80s at this point, is that something you'd expect to accelerate or continue?
Michael Rippey: We'll look to maintain the leverage ratio of three times in the most cost effective manner available to us.
Matthew Fields: Okay, great. And then just trying to triangulate cash flow for 2020 although it's still early. Based on your '19 CapEx guidance and we kind of exclude Indiana Harbor and some gas sharing is 65 to 70 the way you see kind of a base sort of maintenance CapEx level for SunCoke.
Fay West: I think that's the right number over a period of time. So $65 million to $75 million ongoing maintenance CapEx. You may have depending on specific projects and a year where you higher in a year where you're lower, we will be giving kind of full some guidance on both EBITDA as well as CapEx in January, February timeframe for 2020. But if you know if you wanted to use that as a rough estimate over a number of years. That's a good number.
Matthew Fields: Okay, great, that's it for me. Thanks very much.
Fay West: Thank you.
Operator: Your next question comes from Mark Levin with Seaport. Your line is open.
Mark Levin: Great, thanks. My questions were asked and answered. Thanks very much.
Fay West: Thanks, Mark.
Operator: Your next question comes from Lucas Pipes with B Riley, your line is open.
Lucas Pipes: Hey, good morning everyone. So the implied EBITDA guidance for Q4 in the logistics business I believe is around $10 million with that be kind of a combination of felt. And then the river terminals, or am I missing something there.
Fay West: Yes, that's all in. And so our CMT guidance on a full-year basis is what we're estimating between $31 million and $33 million and a full year so guidance for CMT is in the fourth quarter's between $5 million and $7 million. And the balance then to get to that full year number, Lucas, it's going to be from the river terminal.
Lucas Pipes: It's very helpful. Thank you. And in terms of felt, do you have receivables balance.
Fay West: So felt has been shipping tons through the facility all year. As we stand today, they're continuing to move product here in the fourth quarter and they are current on their receivables.
Lucas Pipes: Very helpful, thank you for that. And then just kind of longer term thinking about CMT, Murray made some comments about the economics of exports in their filing. How do you think about CMT kind of beyond the current volatility whereas its place in the Gulf? Where do you see market rates, any sort of color, comments on the long-term off for this asset would be very much appreciated? Thank you.
Michael Rippey: CMT is, you know is a very low cost facility, very highly automated its unique in many ways with its ability to receive rail very far down the river as well its large capabilities. Yes that itself we believe is a low cost provider down in the region, you what you allude to Lucas I think is the challenging conditions with traditional customers find themselves with API2 prices being down and the mid-50s and we have said in the past numbers above 70 really provide better opportunities for our producer. So it's a challenging environment right now and its most an evidence with the bankruptcy we're seeing most notably for us. Murray this year, so notwithstanding the fact that we are low cost provider, it's a very challenging market for exporters of coal and to the international marketplace right now.
Lucas Pipes: How easily could this capacity be allocated towards other commodities?
Michael Rippey: That's the challenge obviously that we face today. Over the past few years we've been incrementally building our business down there. That's in the presence of 10 million tons of contracts take-or-pay business for the coal customers. Now with the filing of Murray we have a substantial ability to go out into the marketplace and fill that capacity that's going to be our focus now that obligation is present to us. As we said in the past the supply chains are quite sticky and that will remain. So we got our work to do and we will do our work, but it's not like flipping a light switch that we simply replace these volumes on short notice. It's going to take a significant effort on our parts replace these volumes and as you can well imagine were already about that process but it's going to take time.
Lucas Pipes: That's very helpful. Thank you, Mike for that commentary and then just following up on some of the earlier comments regarding debt repurchases, leverage ratios, share buyback, obviously are connected. Could you maybe describe opportunistic in a little bit more detail the other certain, we have an expectation around how much capital you will be for example returning by year end or monthly kind of run rate in terms of the share buyback and we think about the share repurchase authorization the size of it, how quickly you anticipate to execute against that. Thank you.
Michael Rippey: We can't comment on that point Lucas. Clearly, the board authorized a new program with the expectation that we would complete the existing program. So through November, we given the exact numbers of repurchased that we've done. I believe the number and somebody can help me by screwed up $23 million of repurchase through November 1. We have approximately 14 to go, 16 to go relative to the existing programs. We have a program that continues and we didn't authorize a $100 million of new program if we didn't think we would exhaust the existing program.
Fay West: I was just going to say and so, we're can't be terribly prescriptive on how we're going to execute that but we need to remember that we've establish the dividend, we put something in place that was sustainable and we believe, the board will go through this kind of process it normally does to establish a different and that is something that is sustainable for our company and even in light of kind of the situation that we find ourselves with CMT. We also really kind of clear on our desire to maintain that three times leverage target. And so and we will have more information as we develop our 2020 plan, as we develop our 2020 free cash flow and our CapEx. But clearly the maintenance of the dividend, maintaining our leverage ratio at three time and then executing against the share repurchases opportunistically. Those are our priorities and there will be some fluidity to that.
Lucas Pipes: That's very helpful. I appreciate all of this, and best of luck.
Operator: Your next question comes from the Matthew Castellini with Bank of America. Your line is now open.
Matthew Castellini: Sorry for further follow-up. Appreciate the color on the share repurchases through November 1. Have you repurchased any bonds through November 1 as well?
Michael Rippey: What we disclose is what we purchased.
Matthew Castellini: So nothing subsequent to quarter end.
Michael Rippey: Correct.
Operator: That's all the time that we have for questions. With that I will turn the call back to presenters for any closing remarks.
Michael Rippey: With that I would like to thank all of you for joining us on our call this morning. And as always, we appreciate your continued interest in SunCoke and talking to you soon. Thanks again.
Operator: This concludes today's conference call. You may now disconnect.